Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good day, and thank you for standing by. Welcome to the Worldline Full Year 2021 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] 00:32 And I would now like to hand the conference over to your speaker today, Gilles Grapinet, Worldline, CEO. Please go ahead.
Gilles Grapinet: 00:41 Thank you, operator. Ladies and gentlemen, good morning. This is Giles speaking and thank you for attending today's Worldline conference call and our full year 2021 results. I will start the presentation providing you the key highlights of the year. Then Marc-Henri, our Deputy CEO will make a deep dive on merchant services dynamics, illustrating the competitiveness and very strong position and market development of the company last year in particular. Hereafter, Eric, our Group CFO, will present you in detail our full year results. Before I wrap up from myself for the conclusion. 01:16 This year has been a very satisfactory year in term of complete execution of the Worldline road map, fully in line with the key priorities announced in February 2021. Priority number one was to deliver on our guidance, strong growth. Priority number two was to execute the divestment of TSS. Third priority was to pursue executing market consolidation, value creative opportunities, while successfully executing the first year of the Ingenico integration, and fourth was, of course, to shape our Worldline 2024 vision and to share it with the community. 01:56 I’ll deep dive just after on these four cornerstones of the Worldline equity story. But globally in 2021, we have clearly fully executed our guidance 2021 with a particularly strong growth acceleration in H2 which in double-digit as expected and announced. We -- the Board commissioned the TSS strategic review. And as you know since yesterday, we received the binding offer for the business by Apollo with the closing expected in H2 2022. 02:26 We've been very successful in market consolidation with four new acquisition, I will comment that in a minute, and we could present to you all a very well-articulated 2024 vision with a meaningful positioning in the payment ecosystem of the group after so many years of fast growth, enabling us to be well positioned to deliver accelerated growth in the coming years, coupled with margin expansion to make further Worldline a premium Paytech company. I'm very proud with the team of these four key achievements, paving the way to a successful execution of our midterm trajectory. 03:02 Now turning to our full year 2021 results. As you can see here, we have achieved all the financial targets of our full year guidance. Regarding the organic revenue growth, we have delivered 6.8% organic performance, fueled by a growth acceleration all along the year as planned and in particular, also a 10.2% growth in H2. More importantly, merchant services after posting a high-single digit growth rates in Q3, as accelerated as anticipated to reach 15% organic performance in Q4, despite unexpected COVID constraints in some of our key geographies that came very late at the end of the year of 2021. 03:48 This growth acceleration, delivering operating leverage, coupled with the full execution of our synergies allowed us to improve by 220 bps, our OMDA margin to reach 25.3%. And last, we've been able to deliver an OMDA to free cash flow conversion of circa 44% above our initial expectation of circa 42%. 04:14 Regarding the TSS strategic review now, I would like to remind you the timeline we followed last year. Since being said that we closed, as you remember Ingenico at the very late part of the year 2020 in -- at November 1 exactly. It has been executed as per plan and considering the usual processes for this type transaction -- of this type of operation and for an operation of fees of this magnitude that I would scale. 04:40 I would like to remind you the key steps we went through. During the first half 2021, our team defined the carved out perimeter, allocated the right assets at the right place, combining, in particular, the Ingenico terminals and the Worldline ones. In parallel, we designed a standalone business plan, including synergies on one hand and of course, forecasting investment and benefit of the engaged transformation to what we call TPaaS, i.e., terminal payments as a service on the other end. 05:15 Of course, once done, we could initiate a competitive process with prospective buyers, while finalizing the targeted corporate structure, and we have also engaged the future commercial framework definition between Worldline and standalone TSS. With all that, in October 2021, you remember that on the basis, the Board of Directors has validated that the divestment of TSS was actually feasible and was the right thing to do for the business and the company at large with a priority given to the short term scenario, based on the ongoing sales discussion progressing as plan with now you know it Apollo. 05:56 As you know, our Board has accepted the offer from Apollo in February 2022. For a total value of EUR2.3 billion at current fair value. We expect to close the transaction during the second half of this year. This announcement represent for us a very strong achievement in our strategic road map with a higher focus from now on core payment activities and enhanced growth profile for our group, and, of course, a very significant contribution to the accelerated leverage to improve our strategic agility for further M&A operations. 06:32 On the strategic development side, as I mentioned sooner, just as a reminder here, because you followed us, we have signed four major acquisitions in 2021 confirming our European market consolidated position and reinforcing Worldline global reach and scale. In Southern Europe, the acquisition of CarLink and Eurobank in Greece representing circa 370,000 merchants serve are owned and circa 700 million transaction managed all acquired per year. 07:02 Secondly, the acquisition of Handelsbanken Card Acquiring in the Nordics, representing an add-on to our existing presence over there of more than 20,000 merchants, generating themselves more than 500 million transaction process. And last, of course, the joint venture with BML Banking Group in Italy through the acquisition of Axepta Italy with a merchant portfolio of circa 30,000 merchants and circa 200 million transaction acquired. 07:29 These four operations fit perfectly with our strategic objective to further expand Worldline reach and scale in Europe and most specifically in Southern Europe, with the expansion of merchant services footprint in promising and fast-growing countries, and of course, a higher exposure to mass tourism. It is also for us, demonstration of our capacity to focus on strategic long term partnerships with major local banks with more -- which more than ever are actually engaged into the divestment of their payment assets. 08:03 We would like to emphasize that this operation offer for us new and solid platform to further expand Worldline presence in the dedicated geographies and represent per se, significant additional growth opportunities for the group once closed and fully integrated with the rest of our operations. And as you can see on the right, combined, these acquisition represent already a meaningful add-on to our merchant services as it was at the end of 2020, with the full year contribution of circa EUR170 million of revenues and circa EUR15 million of additional NDA before of 7% incremental contribution on both parameters. 08:44 Now moving forward in this presentation, I want jointly with Marc-Henri address one of the key market concern which did appear in all our discussion with you along the last month. Let's face it, the volatility on the payment stocks since last summer and in particular in Q4 2021 has been very violent. And I spent consequently with my team, many, many hours in Q4 to discuss with investors and analysts to try to understand. 09:10 To try to understand why the so-called disruption narrative did appear. And why between brackets incumbent players in U.S. or in Europe in merchant acquiring like us, we are supposed to have lost or EUR2 billion in market shares. And also why this narrative born in the U.S. during the summer or during H1 was transposed right away into the European market despite our continent is having a very different competitive landscape, a very different strip to the characteristics. 09:52 And here, I would like to really thank the many, many of you who shared with us time, questions, views and analysis on this situation. To address this concern, we took away from this very intense dialogue with you that beyond delivering the solid full year of 2021 performance that we were committed to deliver. We also needed to provide you with the reinforced set of data points, business KPIs and commercial proof points so you can better access our merchant services and acquiring business performance in its core markets. 10:32 Marc-Henri will now take the floor to guide you through this new part of the presentation, which is intended to bring across based on facts and figures, a very simple message, far from losing shares. The merchant acquiring activities of our group as very materially developed its key market position in 2021, signed to its scale, competitive value proposition and the first benefits, obviously, of the Ingenico acquisition. 11:01 Marc-Henri, I give you the floor.
Marc-Henri Desportes: 11:03 Thank you, Gilles and good morning to you all. I’m indeed very pleased to guide you this part of today’s presentation for our very satisfactory merchant acquiring business market performance in 2021. I will cover four types of new business information and KPIs will regularly release. Regarding the merchant service mass market segment, I will share with you the evolution of our net number of small merchants in 2021. 11:32 Regarding the segment of large domestic or international merchants, I will share with you the main wins of Q4 and we'll do some deep dives to highlight our key differentiating factors regarding the monetization strategy of our merchant services platform, I will comment a number of new partnerships in Q4, and we will zoom on a couple of these. Last but not least, I’ll report on our merchant service value growth. And you will see that in 2021, it has been growing clearly faster than the total MSV for our addressable markets. 12:04 Let me start my deep dive on merchant services dynamics with what we consider as the heart of the Worldline engine, our merchants, which represents the first pillar of our activity growth. In 2021, we have on-boarded 120,000 new merchants, pushing our merchant base at the end of 2021 at 1.1 million. It represents a steady growth of Worldline acquiring merchant base, up 12%, driven by all merchant segments with in-store merchants up circa 10% and online merchants up circa 20%. As a matter of fact, our main challenge in 2021 was the timely sourcing of the payment devices for our new merchants because of the component shortage. 12:50 This overall dynamic is a result of Worldline key differentiating factors and dedicated offering covering all type of merchants. On the smaller and medium business side, our main offering provide as an example, packaged plug play solution with a monthly free online subscription with easy and efficient digital on onboarding merchant web self-care. 13:07 Regarding the large retailer, we provide tailored offers with consultative and profitable sales and conversion rates, omni-channel solution with global e-commerce and collection services, with international coverage et cetera, et cetera. All these dedicated offering fits perfectly with the merchant needs and provide at the end of simple, transparent and seamless solution to merchants, simplifying the complexity of the payment ecosystem for them. This performance clearly highlights the unmatched access to the European Retail and is giving us some advance on security for our midterm objective to onboard circa 190,000 merchants over the period 2020 to 2024. 13:48 Coming to the Q4 significant merchant wins, which reflects the relevance of the Worldline offering, I decided to illustrate this around two categories. First, I wish share concrete examples on the way we grow our share of wallet with existing customer. Then I will give examples of new merchants we could win from competition. 14:07 Let us start with the development of existing customer. So on the left part of the slide with L'Oreal, as, you can see, it’s logo, we expanded the number of corporate brands, we onboarded, for example Valentino, La Roche-Posay supporting them into their digital transformation. If I take the example of Shein, we increased the geographic coverage of countries where we do e-commerce, where they do e-commerce with us. And with Aldi, we expanded the scope of services delivered with a one-step shop offering in Belgium. 14:39 Now coming to new wins. Our full service and omni-channel solutions made the difference for The Kooples or KOSTAD, for example. Our value added services attracted dynadot with, in particular, a cross-border solution, giving access to the Indian consumers, and regarding Motorola or Kilo.Health, it was the quality of our international corridors that made the difference for helping them to sell in e-com for one country to another. 15:08 Now let me detail two exemplary cases gained during the fourth quarter. I will start with Scheidt & Bachmann, a world leader in innovative system solution for mobile living, like for example, equipment of car parks, for petrol station or for local public transport. To allow it's merchant to improve user experience through seamless payments in petrol stations, we have developed of new full one-step offering leveraging our scale and reach. This solution has been designed for pan-European deployment providing a faster go-to-market and easing the integration into the merchant infrastructure. 15:44 Coupled to this solution, we have as well as had several value added services such as a complete suite of payment solution with acquiring the domestic and international payment schemes and the integration of Worldline Pay and Drive Wallet allowing consumer to pay – to book and pay online when they go to the bunk. More globally, we have brought to Scheidt & Bachmann, the ability to provide a smooth convenient and digital payment experience to their customers allowing them to add value in transforming petrol station into mobility hubs. 16:15 Now let's talk about Asos, a market leading digital player for fashion and cosmetic products, adding by nature of global reach, serving several geographies. Their needs were to find a payment partner able to fit with their reach, but having a local knowledge as well in terms of payment and tech expertise. Our global presence coupled with deep local knowledge of payment infrastructure and payment means has been a key differentiating factor and more importantly, ability to provide very powerful domestic solutions for order strategy. This local knowledge supported by a robust and efficient testing infrastructure has been key to deliver a solid performance in terms of conversion rates for Asos, thanks to perfect use of real-time data analytics. 17:01 So with that two example, these two example, they show ability and to improve merchant business performance by combining our global payments solution with a strong capability to customize the integration that was particularly important for Scheidt & Bachmann. And our ability to excel in performance local payment means and that was making the difference -- that made the difference for Asos. 17:23 As presented during our Investor Day now in October 2021 another way to bring value to our merchants is through our orchestration strategy. Our scale reach a single entry point to circa 15% of the European retail give us a key advantage and strongest activity in the payment ecosystem. This position allowed us to sign numerous partnerships during the fourth quarter, with fintechs and digital native players. This partnership approach is one of the growth accelerator for Worldline. We’ve -- on one hand additional services of partner. And on the other hand, it's proper reach to its own portfolio of new merchants. Here, we are entirely at the center of the payment ecosystem, playing fully our role of orchestrator and monetizing the unrivaled position we have built since several years. 18:13 Let's go through two partnerships, we have signed in the fourth quarter that illustrates fully our ability to leverage our scale and leverage the vertical reach of our partner. Let's start with OpEx, who provide an aggregated portfolio of 12 Buy Now Pay Later solutions in our four key markets globally. Based on an API onboard in our platform, we bring to our online merchants, a strong benefit in time to market and cost efficiencies for a single interface to benefit from all with Buy Now Pay Later solution. It's a perfect example of simplifying the ecosystem complexity for our merchants, while monetizing our large merchant base. 18:55 Regarding Joom, it's the other way around. The problematic for this market place was to offer European merchants and access two new markets. Here, we have connected Joom marketplace with its merchants to our product portfolio based on the Worldline payment suite. The turnkey solution has delivered for human improved checkout conversion rate and allows an optimized use of payment method. In that case, we leverage the merchant excess of our partners thanks to value added solutions. 19:25 To conclude on my part, let us come back to data. All our actions to expand our merchant base contribute to our overall MSV growth. And MSV it is a total payment value we acquire for our merchants. In 2021, Worldline own acquiring MSV has increased by 11% versus 2020 to reach EUR265 billion, which represent an out performance versus our addressable acquiring market. It illustrates our capacity to gain market share in both in-store and online with respective MSV growing at circa 10% for the in-store and circa 30% for the online. Maybe more importantly, this dynamic at play in the course of 2021. After our first quarter, impacted by severe restriction in our core countries, our MSV has accelerated steadyily quarter-after-quarter and we have been able to deliver solid double digit growth, not only versus 2020 but versus 2019 MSV as well, along the second half of 2021. To be noted that this recovery has been done without any real come back of the travel and airline vertical which we would provide a really profitable opportunity going forward. 20:44 Then as you can see in the blue color on the chart, we continue to see at the beginning of the year 2022, a solid trend in the MSV expansion giving us confidence to deliver our growth ambition in 2022. 21:00 Concluding this section, I hope you could see that we did work a lot to provide you with more business KPIs and data to show the momentum of merchant services activity. I believe this data of merchant numbers, MSV expansion are clearly showing we are not in a situation of being disrupted, but that we are in continuous motion to expand organically. We are determined to continue with journey and accelerate by developing further our core solution and assets, allowing us to bring to our clients and always better business performance. 21:29 I’ll now give the floor to Eric to present our -- present you our financial performance.
Eric Heurtaux: 21:37 Thank you, Marc-Henri and good morning to you all. Let me now come back on key 2021 figures, which are reflecting precisely our solid performance. Revenue for 2021 was EUR3,690 million, representing an organic growth of 3.8% compared to 2021 at constant growth and exchange rate. Regarding our profitability, our OMDAs stood at EUR933 million representing 25.3% of revenue or 220 basis points improvement compared to 2020. This margin improvement comes from our ability to deliver our expected synergies on top of operating leverage generated by the accelerated growth profile in H2. 22:26 Full year 2021 free cash flow was EUR407 million, representing a strong conversion ratio at 43.6% of OMDA, its 160 bps above our guidance. Normalized net income group share reached EUR440 million on continued operations, representing 12% of revenue and normalized EPS duties reached EUR1.53 per share up 6%. As you can see, all our 2021 objective have been reached. 23:01 During 2021, Worldline's revenue reached EUR3,689 million posting a 6.8% organic growth and a strong revenue recovery in the second half compensating the first half softness in Q1 triggered by COVID restrictions. Our divisions are up in 2021 with merchant services up 8.2% accelerating its growth with 12.2% in H2. Financial services up 3.1% with the same pattern on as MS and posting a 5.2% organic growth in H2. MTS accelerating as well with 6.8% organic full year, including 9.3% in H2. Overall, after our first half impacting by a Q1 affected by COVID restrictions, all businesses have been recovered strongly in the second half as expected with a 10.2% organic growth at group level. I will come back with more details on the next slide regarding the phasing of the full year by division with a focus on Q4, which has been strong in each business lines. 24:10 Before moving to OMDA, I would like to stress that in 2021 Worldline fully recovered from the COVID impact with 2021 revenue even growing low-single digit versus 2019 in all GBL on a full year basis. Despite still significant COVID headwinds during the year. 24:30 Now regarding the OMDA performance, during 2021, Worldline’s OMDA reached EUR933 million, representing 25.3% OMDA margin. This represents 220 basis points improvement in profitability, mainly driven by merchant services with a profitability up 220 basis points, cost saving in the cost level related to Ingenico integration and continued positive improvements on MTS and FS. 25:01 Let me now detail these numbers. On the slide, I would like to cover the revenue building blocks for the fourth quarter of 2021 and the quarterly phasing of our performance since the beginning of the year. As a quick reminder Q1 was still severely impacted by the pandemic, while we have enjoyed a strong growth acceleration in Q2 and in Q3 led by combination of strong volume recovery and easier comps fully compensating the first quarter decline. 25:33 Let me now comment our Q4 performance by GBL. First, merchant services posted the solid 15.1% organic growth despite some COVID constraints during the quarter, notably in Austria and Netherlands. During the quarter, the positive trend on volumes benefited to Commercial Acquiring and omni-channel payment acceptance resulting in a strong growth in almost all geographies and customer segments and much stronger transaction volumes for large retailer and e-commerce in vertical such as retail, goods and services or marketplaces, despite a lack of transaction volume in travel and hospitality. Digital Services was also growing in Q4, but in the low-single digit side due to the impact of worldwide component shortages, slowing down terminals availability. 26:23 Second, financial services showed a 5.4% organic growth in Q4 with all division contributing positively. And FS overall contributing to an accelerated quarter-after-quarter driven by payment flow pickup and ramp up of large outsourcing contracts. The growth was led by the digital banking and account payment divisions, thanks to higher volume and new trusted authentication services, the ramp up of UniCredit and a high level of project activity. Regarding acquiring, processing and issuing processing, the effects on the COVID-19 on process volume was limited in Q4. Revenue linked to card-based payment processing activities was slightly up due to lower project activities and price reduction considered that renewal time of large historical Equens contracts. 27:13 Third, Mobility and e-Transactional Services benefited from the recovery of transactional revenue and the rollout of several project, leading to Q4 revenue reaching EUR85 million representing an organic growth of 7.7%. The strong performance was led in particular by the volume pickup in the transportation sector coupled with several development projects in both e-ticketing and trusted digitization. Overall, the solid performance with the expected pattern Q3, Q4 allowed us to post a double digit growth in H2. 27:50 On the OMDA side, after having been impacting by top line negative evolution in H1, profitability has raised significantly in H2, driven by growth acceleration and operating leverage mainly on the MS and FS business lines. Overall, in a context of slight top line growth in H1, our OMDA is up 12% organically to EUR383 million, showing a 170 basis points improvement in terms of OMDA margin and reaching 22.6% With a growth acceleration, our H2 OMDA is up 21% organically to EUR551 million, showing a 250 basis points improvement in terms of OMDA margin reaching 27.6%. This performance is driven by the ability of our business line to deliver margin expansion for operating leverage and synergy execution. 28:47 In more details, on a full year basis, MS profitability is up 220 basis points to 26.1% benefiting from cost control action, the execution of synergies from Ingenico and SPS and ongoing transactional productivity improvement actions. The division benefited as well from its high fixed cost basis providing operating leverage over the course of the second half. FS OMDA margin was up 16 basis points to 31.4% still at a high level, but impacted by the ramp up and deal phase of new contracts and synergies, mitigated by the impact of price renewal of historical Equens contracts despite significant improvement of its cost base. 29:32 MTS profitability is up 20 basis points to 14.9%. The business line benefited from the positive business trend in e-ticketing, mainly in the UK and LatAm fueled by transaction recovery post-COVID and has been able to leverage the scalability of product investment plans on top of tight cost management. Finally on the corporate side, we have pursued the strong action taken to deliver synergies and streamline our cost base reducing our corporate costs by EUR23 million over the year or an improvement of 75 basis points. Globally it is a strong achievement in 2021 and this evolution fully confirms our three-year trajectory. 30:17 Now moving to OMD – from the OMDA to the other element of the income statement which is now presented under IFRS 5, which consists in presenting continued operation without TSS. Nonrecurring items reached EUR364 million and consisted globally purchase price allocation amortization for EUR189 million mostly linked to the Ingenico acquisition and integration and post-acquisition cost of EUR95 million corresponding to Ingenico integration costs, remaining part of services in integration costs. All the increase versus 2020 number can be explained by Ingenico combination and synergy plan. As a result, operating income for full year 2021 was EUR304 million. 31:07 Net financial expense amounted to EUR38 million, in particular due to the full year effect of interest of Ingenico bonds and the new bond and OCEANE issued in 2020. The tax charge was EUR64 million with an ETR of 24% in 2021, reducing by 180 basis points versus 2020 level. To keep the objective to try to maintain the ETR in that range going forward. As a result of the above items, net income group share was EUR191 million and continued operations. Discontinued operation net income booked to according to IFRS 5 reached EUR110 million before the impact of TSS sales triggering an impairment of circa EUR900 million and tax impact of circa EUR150 million. Both one-offs leads to a negative net income for the year of EUR751 million. However, the normalized net income stood that EUR440 million on continued operations, representing 12% of revenue and our normalized diluted EPS reached EUR1.55 (ph) compared to EUR1.45 in full year 2020 and representing a 6% improvement. 32:31 Regarding the cash flow statements, the main parameter of our free cash flow generation or CapEx at EUR226 million, in term of this is fully in line with our 2021 objective to be in the range 5% to 6% and we expect to accelerate in 2022 still in the expected range of 5% to 7% as after our new three-year plan. The change in working capital requirement in 2021 brings us anticipated the positive contribution of EUR62 million reflecting the alignment of contractual TMCs and procurement best practice in Worldline and Ingenico mainly in H1. It should normalize in 2022. 33:11 Integration costs were fully in line with expectation and mostly related to Ingenico and SPS post-acquisition integration. Overall, the full year 2020 free cash flow was EUR407 million, representing 43.6% of OMDA, excluding any contribution from TSS and supporting our three-year plan trajectory. It's a strong achievement reflecting our ability to deliver quick wins on the synergy side while optimizing implementation costs and also the application of our strict cash management policy. 33:46 Let's now look at the net debt evolution on this slide. The group net debt decreased to EUR2,923 million against EUR3,211 million at the beginning of the year. The main driver of this evolution is the strong cash generated, we have delivered during the year 2021. The other point to mention the impact of the acquisition and disposal closed in 2021 for EUR315 million mainly related to the acquisition of Handelsbanken and Cardlink. The contribution of TSS reached EUR186 million, and corresponded overall to a free cash flow generated by the entity accounted under IFRS 5. 34:31 Regarding TSS sales impacts, adding the upfront cash consideration consisting in the enterprise value and the bridge EV to Equity it would lead to a theoretical 2021 group leverage ratio around 1.5 times OMDA. Our net debt trajectory is well in line with our expectation at the end of the year. 34:59 On this slide, I will highlight the changes of cost related to the acquisition and disposal made in 2021 and the estimated impact of the acquisition to be closed in 2022. As a reminder, Axepta close in January, ANZ expected to close end of March and Eurobank expected to close end of H1, beginning of H2. To give to the market a comprehensive view of the starting point of our 2022 guidance, I will describe just after. The overall change of scope related to the new basis of 2022 guidance is shown on this slide for revenue and OMDA at group level. I will also provide the detail by GBL by quarter and semester in the appendix of this presentation. 35:52 On this basis, we expect our full year 2022 8% to 10% revenue organic growth and OMDA margin improvement between 100 basis points and 150 basis points compared to 2021 estimated pro forma margin of 25% percent. And finally, an OMDA conversion rate into free cash flow of circa 45%. Looking to the guidance more in detail, the bottom range factors localized and temporarily COVID constraints impacting merchant activities limited recovery of international travel and some limited delays on POS supply related to a still ongoing component shortage. 36:33 Regarding the growth pattern we expect in 2022 and referring to the slide that Marc-Henri presented to you earlier on our MSV development in 2021, I would remind you that we should benefit from a favorable comparison basis during the first half, mainly on the merchant services activities with a Q1 stronger than Q2. The second half should be more normalized H2 2021 being less impacted by such restrictions. On the OMDA side, we should not have any big differences in terms of margin improvement each semester year-on-year with H2 profitability, remaining higher than H1. 37:13 Now, I'd like to leave the floor to Gilles for the conclusion.
Gilles Grapinet: 37:16 Many thanks Eric. And now moving into the key takeaways of this great year 2021 for the group. Definitely for us year 2021 has been the year of a very solid execution on all fronts, paving the way for a successful start of our new 2022, 2024 medium-term plan. Regarding 2021, I would like to highlight four key achievements. 37:42 First, a very solid commercial performance with in particular in merchant services, a strong mass market merchant base increase to numerous commercial successes with large merchants materializing in the end into a double-digit growth in our acquiring MSV as seen sooner with Marc-Henri. 38:01 Second highlight, the perfect delivery on our full year guidance, despite the uncertainties related to the remaining COVID impact during the last year, with a material acceleration of growth and profitability in particular with H2 double digit growth and the combined benefit of the operating leverage and the synergies at OMDA level, when the growth was coming back. 38:24 From a more strategic standpoint, the sale of TSS accelerate powerfully our deleverage and is improving further our strategic agility, driving me to the fourth highlight of 2021 execution where our leading market consolidator status has been once more illustrated with the four new acquisition I covered sooner. All this next 2021 a very solid cornerstone to project with confidence our group in the next three years, as you could see with our 2022 guidance, which is fully set in accordance with our three-years trajectory, which I am happy to reiterate on the next slide. 39:06 I remind you that regarding growth acceleration and profitability improvement, we expect to deliver 9% to 11% of revenue CAGR over the period 2022 to 2024. Improve our OMDA margin by more than 400 basis points over this period of time, trending towards 30% by 2024. And generate an OMDA conversion into free cash flow of 50% by 2024. On top of our very powerful organic ambitions for 2024, we expect of course M&A to stay an important priority in the coming three-year, which is part as you all know, of the Worldline DNA and strategic ambitions. 39:52 Thank you very much for your attention so far. And I am ready with Marc-Henri and Eric to take your questions.
Operator: 40:00 Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from the line of Josh Levin from Autonomous Research. Please go ahead.
Josh Levin: 40:32 Hi. Good morning. Two questions for me. So you talked about taking share or winning new clients. To what extent are you taking share or winning against banks as opposed to other stand-alone payment companies? And when you do take share or win a client, is there a common reason why? Or is it for a variety of reasons. And then the second question, in the slides, you briefly mentioned your partnership with the payment orchestration company Spreedly. Can you tell us more about what that partnership entails and what payment orchestration means for Worldline? Thank you.
Gilles Grapinet: 41:07 Hi, Josh. Good morning, nice to hear you. I’ll give the floor to Marc-Henri.
Marc-Henri Desportes: 41:13 Yes. So to your first question from regaining merchants. So if I think about the big numbers, the 120,00. so by definition, when you talk about such big numbers, we are talking think about smaller merchants mass market. And today, this mass market still realized primarily in Europe in the end of historical banks acquirers. So it's primarily from this player that we are winning these businesses. And how do we do so by having convincing a simple service offer the packs and the way we price in a smarter way, embedding simplified and adapted to each segment and some prefer to have a fixed amount with limited number of additional transactions over prepared or something which is largely in terms of transaction and no fixed fees. You just need to be smart and to have the right distribution channels to push and to win this merchant. So that primarily in these domains that we are winning market share. On bigger merchants from all kind of competitors. 42:26 Here, I think what makes the difference is primarily the quality of our in-store solution and what we gain notably from working with integrating Ingenico. I think when a retailer starts to be really big, I need to have the best solution in terms of smart routing, competitive pricing. I think what we have is really of a premium dimension. And I would mention it then on top what I explained during the presentation, we have an ability during IT DNA to customize to go a bit deeper into adapting to the digital journey, the choices the activities we’ve shut at McGowan, in particular. 43:07 Now coming to the partner question, I think without going into details of confidential commercial information. What happened is that when, for example, we distribute this kind of -- Buy Now Pay Later like we did for OpEx or similar stuff. We are in a position to simplify the access and to have a take rate on distributing these products, most of the time, very similar to what we experienced in a classical acquiring business and it will bring an additional momentum and additional level of revenue and business for activity. So, I would say basically 20 to 30 bps is kind of take rate we experience from this kind of partner. 44:01 So this orchestration, this monetization of our position is to be one-stop shop historical partner of merchant and enlarging the number of services you can benefit from that he pays with a similar take rate that he has experience with this acquiring activity in the past or above, and for the partners it is -- we are an obvious choice because we have the success to 15% of the European market. So we know that's signing with us getting an agreement with us, it's a strong accelerator to coming to the market.
Josh Levin: 44:36 Thank you very much.
Operator: 44:39 Thank you. Next question comes from the line of Mohammed Moawalla from Goldman Sachs. Please go ahead.
Mohammed Moawalla: 44:47 Great. Thank you very much. Hi, Gilles. Hi, Marc-Henri. Hi, Eric. I had several but before that, thank you for the added disclosure and information that you're giving us so much appreciated. I wanted to just start with the outlook, I know Eric, you gave us some sense on the quarterly cadence that sort of Q2 would obviously not be as strong given the comps, but do you think Q2 can still grow positively? I recognize that there was a very tough comp a year ago. And as we think of that sort of acceleration into the back half, could you give us perhaps a bit more color around merchant services in particular around sort of the growth as you expect there? And how should we think about the potential sensitivity given your expectation that there is very little assumption around international travel that you've baked in. So if there is sort of rebound, can you help us frame some of the upside. 45:47 Second question, kind of more bigger picture in nature. As you -- could you comment, I mean, there's increasingly a lot more talk around platforms entering the mid-market. Could you talk a bit about Worldline’s strategy to kind of counteract that? I know that you're kind of competing a lot with banks and taking market share, but a lot of the kind of next-gen players are increasingly enabling the platforms to go after the mid-market. So what is sort of Worldline strategy to counter that? Thank you.
Gilles Grapinet: 46:20 I will maybe just start with the second, Marc-Henri you can chip in any time. Clearly, you understand that it is indeed for us the key focus to progressively ourselves, set up a much wider value proposition to the merchant ecosystem and also to the banks with whom we partner as a matter of fact, by constantly enriching our connectivity with third-party. So we connect ourselves with marketplace with various players, some, by the way, of the platform that you mentioned are also customers of us, and we are working with some of the big names even it does in moment in time, we are not always disclosing the status of this information. So fundamentally, we will focus a lot on both pursuing what we do here, which is constantly expanding the base of merchants that we on board on our own platform and enrich constantly the Worldline platform itself by this open innovation framework that we've been developing that Marc-Henri has started to actually to share with you some of the latest names that they've been onboarded and that we actively pursue going, it is like a commercial channel to engage and to structure more and more this type of discussion across the place. Of course, the market is a competitive market as we all know. But I must say that at this moment in time we feel extremely strong in particularly the mass market and the medium-sized market regarding what we have in our hands and the recent track record of our market penetration. Marc-Henri, do you want to complement to that.
Marc-Henri Desportes: 47:51 I think you said it very well. We consider ourselves and position ourselves at a central platform in the payment market. And that when we talk about this open innovation and this partner strategy, we currently today have hundreds of partners, ISVs connected and spreading of services to the mid-market. It's certainly something we want not only to continue but to boost like we shared with you in Investor Day, so we'll complete regularly bring you posted on signing new partners. And for sure, or it is a great strategy and we see some other players is having proper APIs optimize for developers to connect is something on which we have improved a lot over the recent period. It's a massive topic of attention and investment for us. It’s not huge. It's not rocket science, it's available technology. We have the people. So we are really in this moment evolving very fast in this domain and expanding a daily or developer portal. And I'm very confident of this positioning on the mid-market and the technology positioning of Worldline is a parent position us well to score there as well.
Gilles Grapinet: 49:08 Eric?
Eric Heurtaux: 49:10 On the first question and the outlook what I wanted to stress is that indeed in H1 in particular, we will have a discrepancy in the growth between Q1 and Q2 which Q1 being higher than Q2. It doesn't mean of course that Q2 will be shy, I think Q2 will be more normalized. That's the key message. And that's true for all our GBL, including MS, by the way. For MS, I have said that we expect quite below double digit growth for the year. We should expect to be on the higher side for Q1 due to the recovery effect from COVID. And then progressively to normalize Q2, Q3, Q4 to reach this overall low double digit rate for the year. But definitely, you should expect a good performance in Q2 as well. There is no specific point I wanted to stress on Q2. And on your point related to cover -- in our guidance, we have factored a bit the two options. First one, would be a good recovery of travel, including international travel that would support our top line and help us to be rather on the top part of the guidance. On the other end, we have also identified some headwinds but could bring us over to the lower end, but I have listed including the fact that international travel could remain low during the full year when there hope at least that it could restart as early as H2.
Mohammed Moawalla: 51:01 Got it. Thank you.
Operator: 51:05 Thank you. Next question comes from the line of Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande: 51:13 Yeah. Hi. Thanks for letting me on. A couple of questions from me. I mean, Gilles, I mean, strategically, how do you look at the consolidation team from here? I mean, you did the Ingenico deal, you did Equens in the past. I mean, they were big deals for the size of the company you were when you did them. Most to the Europe consolidation from here is about smaller businesses from mainly coming out of the banks to be consolidated. So, will they really make a significant difference to your earnings profile as you do them? That's my first question. 51:51 And the second question coming back to the question which have raised in the market about the growth of companies such as yourself. I mean, when you look at, I mean, clearly, you did well in 2021 with respect to what you guided to, but when we look at your, say, your merchant services business in 2020 when it declined and then it grew again in 2021. Some of the other companies which the market has talked about as being competitor taking share from you, which you say -- which I would agree actually that they're not seem to have seen a much bigger rebound in 2021 than yourself. Is that an explanation for that?
Gilles Grapinet: 52:35 Thank you, Sandeep and good morning. I would take the first one, maybe with the team here, we can also try to give you our views on the second one, but you understand that we do not feel at all in any type of defensive position. We’re clearly ourself feeling that our problem is actually to pursue having enough in particular, devices and capacity to serve the demand we are receiving from the market. But coming back to your first question. Clearly, I mean, the consolidation has already moved in Europe quite significantly over the last -- over the last let's say five years, being said that the first significant transaction we did was -- we did Equens in 2015. From there, how do I see things evolving? And first -- since first, where is the remaining -- where are the remaining volumes in Europe in payment and in particular in merchant services, but it is almost as true for financial processing, still largely with banks. There are significant banks that have not yet taken the step to divest their payment activities, nor on the processing side, nor on the merchant acquiring side. 53:48 Talking about the scale business. I'm not even talking here about growth profile that will come not systematically from the portfolio of the bank we embarked because at the start in banks are divesting is generally because they feel the pressure of players like ourself, which are actually eating the part of their cake, and they recognize that it is better to partners and try to defend the market they cannot defend on the standalone basis. But of course, when we onboard this portfolio, as we demonstrated many times, we accelerate very significantly the growth, in particular in bank led geographies where we can take an advantage in terms of speed and momentum versus the remaining local bank players. So the first answer to your question, they are still very significant volumes that could be captured in the coming years through an M&A strategy directed towards backs. And I got flagged here that in my ten years’ time of tenure as a CEO of Worldline, I never see -- I never saw and I’ve never seen such a number of even some of the largest European banks that have actually undertaken. Very deep strategic reviews of the payment activities. For me, if I need to look at 2021 as a type of real TPT point. It has been moving the thinking of some of the remaining largest European banks. To answer clearly the question, what should I do with my payment activities? 55:15 And I can tell you, and I think my team here will only conquer to that. It is unprecedented to see now the question, reaching the largest European banks. So we will tell what will be the timing of answering these questions. But here I'm not talking but long term some of these banks are actually engaged as we speak into developing the scenarios and not of course, breaching any confidentiality agreement here. I want even to flag but of course some of distribution, of course, in both the company like Worldline, we are absolutely unavoidable into any scenario of this kind in Europe these days. So for me there is still a lot to be done. Of course, I cannot exclude that the merger of pure players in parallel could also take place. It has been the case in between us and Ingenico, between Nexi and Nexo, CR recently and with these payment services. This is part of the playbook by definition scale will pursue being an important points in the business as much as speed and technology and from that standpoint, I believe we are not at all done with the consolidation thesis particularly in Europe. 56:32 Regarding the second point, I mean, keep in mind that, of course, when you read the cross results from payment companies, you need to take into consideration where they play and what are the cost components of their business and also the quality size. In the case of Worldline, just flagging here that we are operating still at this moment in time, in core Continental European economies, which are for many of them and in our business profile we have a much larger share as you know of physical tenant activities in face-to-face commerce than in e-com, even with Ingenico, we actually significantly increased our e-com exposure. And consequently, in our overall volumes, we also reflect the dynamic of domestic consumption in countries, which are still all largely by domestic payment schemes. So when you do this read across, they always a very close attention to the way you compute the underlying dynamics. We are operating in economies Europe that are not having a stronger GDP growth. 57:42 Within the GDP growth, we are exposed to the domestic consumption path for a bit path. But of course, if you wonder, why we are going much higher our MSVs than the addressable markets, it is just because we gain share. It is that simple. We actually grow faster than the underlying market. But of course taking into consideration the type of geography in which we operate, we are not in any emerging market and we are 100% income player if you back all that, I believe that the figures are exactly telling the truth of what we are. Marc-Henri?
Marc-Henri Desportes: 58:13 No. I think it's exactly what you said. And the strategic of rebound our strongest exposure to the in-store business in Continental Europe such as that we did not guess the full rebound of the economy which is of answer -- what I mean by that is that we did not get yet the full come back to normal in-store activity. If you look at what was happening in Q4 in Continental Europe, you still had a significant restriction to restaurants opening in Netherlands, in Belgium, for example, in Germany, you had sanitary conditions that was such that people were still a bit hesitant to go to the store or limiting it to the store. So we had the situation where the full come to the full in-store activity was not there yet, and it's still on view in front of us. So that's a positive dimension. On the online, we are not like traditional bankers or some traditional acquirers pure in-stock player, we have a stronger online dimension and also increasing the Ingenico acquisition, but that does not make us a few online player compared to some of us. So we are in this situation right now.
Gilles Grapinet: 59:32 And just maybe a final remark, because sometime I realize in all the discussion we had with the communities since to Q3 release and of course, or what has been happening in the tenant market. That if you look at our -- I would say structural growth model, Number one, is as we said the expansion of our merchant base. So it varies depending on countries to other countries and certain countries, we have already have a very large shares of the local mass market, in other countries we are clearly in a much more sized development model due to historical reasons. So the number one, is to increase the number of merchant locations, whether online or in the physical e-commerce world that are actually onboarded on the Worldline platform. That's number one, increase the base. Then looking forward, you know that's in Europe and it is a very important point of difference with the U.S. The cashless penetration in generally in Europe is much less advanced. We don't have recent data points after COVID, but it is easy to believe that we had still by far more than 50% of the retail transaction then non-cashless as point of sale in Europe. So there is a huge number of transaction that will be displaced to cashless. So, we increased the base and year-after-year, each of our payment terminal or web pages or whatever type of cashless solution, we'll see a part of increase of volume due to the shift to cashless. So we increase the base, number one. Number two, more cashless transaction year-after-year. And number three, is increasing its cross-sell and upsell, the type of services that we can actually charge the merchant with to get more value for them, more stickiness with our consumers, helping them to grow faster their business which in return will accelerate the number of transaction of course, they are not successful in business. So this one, two, three strategy is that one of the very strong pillar on which we based our strategy and the data Marc-Henri shared with you. So far me, it is exactly what we do. We have a very strong – we build a very strong merchant platform open to third-party to join us with their on value proposition and pursue surfing on the cashless displacement that is the much less advanced in Europe, than it is in some other parts of the world.
Sandeep Deshpande: 62:00 Thank you.
Gilles Grapinet: 62:11 Next question? Hello. Operator? What’s happening guys? Are we connected or not?
Marc-Henri Desportes: 62:39 We are.
Gilles Grapinet: 62:41 Sandeep, do you still just checking because we were just talking with you.
Sandeep Deshpande: 62:46 I’m here.
Gilles Grapinet: 62:46 Okay. Thank you, Sandeep. I don't know what is happening because we don't receive the next question and the operator seems to be disconnected. Is there a way to – no, it is the operator that can give the floor to the next speaker. Sorry, for that guys, it seems that…
Operator: 63:05 Thank you. I will -- go to your next question. Sorry, is that okay?
Gilles Grapinet: 63:10 No that's perfectly okay. It was even expected to be a prank.
Operator: 63:14 Thank you very much, sir. Your next question comes from the line of James Goodman from Barclays. Please go ahead. Your line is open.
James Goodman: 63:23 Yeah. Good morning. Well, thank you. Firstly, just to dig a bit into the new material around the merchant division, and that is much appreciated. You showed the volume for the development of your own acquiring, I think, EUR265 billion. I recall previously, you've talked about EUR400 billion of processed volume. So just wanted to really dig a little bit into the trends and buckets in the other volume. I guess in terms of bank to bank and also gateway volume? And how those are trended whether that's sort of similar to what you've seen in the acquired volume and I guess linked to that and more specifically focusing in online. You've talked about 30% growth there in your acquired online volume. I mean, if we think about Global Connect for a second, can you talk about the revenue performance there in 2020 and 2021? I presume a lot of what they process is still not fully acquired by Worldline that they have that role. So that’s the first one. 64:21 And then secondly, switching over to profitability a little bit. I mean, maybe one way to ask the question. I noticed a few weeks ago I think that you announced you hired 5000 people over the coming months. At the same time, we've heard quite a lot from other in-store focused acquirers around sort of certain aspects of reinvestment and some reinvestment of synergies as well. So just wanted to get your take on that and link to the significant hiring that you're planning, really how you think about those dynamics in the market versus your guidance you given today in the mid-term guidance into on margin. Thank you.
Gilles Grapinet: 65:03 Yeah. Thank you, James. So I will take your questions. First on the EUR400 billion that you remember, you remember well, and these were volumes that we gave, including the coming scope. So the ANZ contribution, ANZ should contribute EUR75 billion So it's better to close in the coming months and so it's really now very, very sharply in front us. But ANZ was supposed to -- is planned to bring EUR75 billion of volumes. And in this collecting activity, which is not exactly acquiring business, but it is similar to it is – was embedded in this EUR400 billion number and was accounting for circa EUR55 billion. So all-in-all, if we consider with the EUR265 and to come on your question, regarding Global Collect evolution. Global Collect evolution is evolving in the low-teen range and circa if we look at a period in which we are, so you mentioned the fact that we are -- it could go to more of Worldline acquiring -- it is indeed momentum in which we are but that's not the goal and to switch a collecting business into a sole source internal acquiring activity. I think it's one of differentiator of Global Collect and to have an ability to rely on different acquirers. 66:38 On the other end, for other acceptance business that was coming from Ingenico, and some in-store acceptance with the acceptance way or the online acceptance with gateway been converging. We are switching progressively more and more of the existing flows into the Worldline acquiring. So it’s a contributor to our revenue synergies. So we intend to continue boosting and developing this activity. But of course, Global Collect, it is not our intention to bring it to a full Worldline one-stop acquiring, we are not following the strategy of some over to other one-stop shop solutions that is also a kind of lockbox one-size-fits-all approach. We do believe that on the market or ability to differentiate share by being a bit more tailored and customized also makes a difference. 67:34 Now coming to the 5,000 hiring offerings you mentioned. It's obviously designated to attract attention to support us in a hiring campaign. And so we went on the hire side in this extra driven communication, bear in mind that last year on an overall stable workforces, we are over 3,000 people due to the situation of turnover that the existing industries fact that this number is embedding apprentice, trainees, and that the Worldline historical choices was to build internally and to master our technology. So we have a very large scope of activity not only standard acquiring activities, but also with FS we build the solution themselves. We sell them to the bank with MTS as well. So it's much more activity linked to building and developing stuff. So if I come back to the big picture, 3,000 hire last year, over 3,000 hire last year, next year, we will go to higher number maybe not full year to the 5,000 that we communicated to attract the attention of all potential interested parties, but indeed due to investment and the increase of CapEx that Eric mentioned, there will be exactly higher number and that's where we are going to take.
Eric Heurtaux: 69:07 Yes. And related to your question on synergies, we do not plan a massive reinvestment of the synergies. What we will do is to invest in the future project development and convergence as we explained to you for Capex and up to a level that is 5% to 7% which was, we allocated in our three-year plan. So this will also fuel part of those CapEx in this year.
James Goodman: 69:36 That's very clear. Thank you, guys.
Operator: 69:39 Thank you. Your next question comes from the line of Alexandre Faure from BNP Paribas. Please go ahead. Your line is open.
Alexandre Faure: 69:52 Hi. Good morning. Thanks for squeezing in. Had a couple of questions, please. The first one is going back to SMB segment and perhaps, if you could remind us of your distribution by channel in that segment. I think you touched on ISV as a distribution channel, just curious, if you could give us scale, what's the bank-led? What’s ISV-led and perhaps, what’s the distribution in that particular segment. And my second and last question would be on financial services. I think about a year ago, you talked about some encouraging discussions with large financial institutions in France for outsourcing contracts. Just wondering how that's going? Thank very much.
Gilles Grapinet: 70:45 Marc-Henri? [indiscernible]
Marc-Henri Desportes: 70:50 Yes. So I don't have a precise breakdown of the channels that who is the distribution channel we are being right now given the size and the dimension of – so the value for line activity as we speak. I would say that it depends very much on the various geographies and the setup we have in this geographies, as you will recall, in Czech Republic, we have a bank alliance. We have the same in Germany with PAYONE. It's not the same situation in now it's starting to be in Sweden now with Handelsbanken, but most of it was stand-alone with Bambora. So it's a bit different geographies by geographies. I think I would quote the bank-led as the first channel. They are bringing some leads and then we confirm them. I think our salesforce will be the first channel of activity, our own sales loss and pushing directly our product to the market. I think very close to it there is a network of partners and ISVs and slightly behind, but sometimes in France in some geographies, you have bank-led channel. So it's a mix, but I would not be in a position to give a more accurate number at this level. 72:15 Coming to large financial institutions, discussion. So we have a solid pipe of discussion ongoing. As you recall, it's an area where the timing of landing the deal is always more difficult to predict given to the time this institution come in their own governance to make decision, depending also on the overall context evolution and market evolution. But I would say that in this moment, we have a well distributed in various geographies from North of Europe to South of Europe. We are well distributed pipe of good discussion, both in terms of outsourcing, but also in terms of partnering. We said in the past or even recently knowing the study that we see rather an acceleration of the thinking of the bank regarding partnering for the merchant acquiring activities and we believe it is confirmed by the recent months and discussion. Not at all like in the past, as we were looking for cash for their ratios but much more now due to much more intense competition the specialization of this business and the need to have a bank friendly partner able to handle a technological challenge.
Alexandre Faure: 73:40 Got it. Thank you. Thank you very much.
Operator: 73:45 Thank you. Your next question comes from the line of Hannes Leitner from UBS. Please go ahead. Your is open.
Hannes Leitner: 73:55 Yes. Thanks for letting on and I have also a couple of questions. And also appreciate the additional data provided. And the first question is on synergies, could you update us post the terminal sale on the other synergies from Ingenico, and what's the run rate at this stage? Then the second question is, the Slide 15 was very helpful, showing that you grow on market share. Could you talk a little bit about what's still suppressed within your volumes? And within your total business thinking now about travel, thinking about in-store potentially be still suppressed over 2019 levels. And how much of that you expect to rebound this year and the next year? And then the third question is around TWINT and all those mobile schemes. I know you have a shareholder in TWINT. So maybe you can talk there a little bit about the dynamics and economics around it? And just to follow-up on the headcount I’m not sure if I missed. And can you give us the headcount number, you just said about the hiring? Thank you.
Eric Heurtaux: 75:06 Okay. I will take the first one and this is Eric on the synergies. So on the synergies front, TSS was not a big contributor, I think to be overall Ingenico synergy plan, it was probably in the magnitude of EUR20 million, EUR30 million overall within the total plan. By the way, this will fuel the profitability -- their own profitability improvement because they will continue to deliver both synergy on a stand-alone basis combining the Worldline terminal and the Ingenico terminal But on Worldline, I think we are progressing on continued operation. We are progressing extremely well on the synergies with Ingenico. We are fully in line with the first year of plan, probably even with a bit of other achievement, we found nice quick win as you could see in the performance of reported in corporate and MS. At this point in time, it's probably too early to update the overall number. We expect but we are rather confident and we continue to monitor on the monthly basis, the performance and the materialization of those synergies at top management level. It remains a strong priority, and I can ensure you that the team are fully committed to deliver the plan, very much confidence from the management team on this respect.
Marc-Henri Desportes : 76:43 Regarding the business that is not yet back, if we take the travel, I think to that point, we looked at it seems to be very similar for airline and travel and for dynamic currency conversion, which is an important part for acquiring activity and you may remember that we have an own internal solution, which is a strong margin driver for us. Both -- for both this activity, our data point are still circa 40% lower than what it was in 2019. And we looked also at some data information, and it seems that what we see is the overall case that is the travel situation, the airline travel, if I take the airline, it’s circa 40% lower, end of 2021, beginning of 2022 and what it was in 2019, with the domestic been like 20% lower and the Continental at 60% lower. So we still believe that that this is an upside still in front of us, the speed at which will come back is a bit driver of the gap between the high end and low end of our guidance as we have expected is one of the driver. So that's I mentioned. 78:04 Coming to TWINT, indeed, we are -- as still the SIX Payment Services, we are a shareholder of TWINT. I must say I don't know to what extent I'm allowed to disclose the TWINT that are given at this situation TWINT is not a listed company, but TWINT is doing well indeed as a Swiss domestic payment solution. We are doing well. We have a very solid market shares. The way it happens when we are under TWINTs transaction for merchant is very similar in terms of take rate to debit counts on the Swiss market. So for us it’s rather positive and its rather adoption of electronic payments. TWINT has engaged into Euro payment, mobile payment association as it pushing for interoperability, and we are supporting them into these IDs and we believe it is another driver of international e-payment developments. And it's a European G&A and to be close to all these players and help them develop the activity.
Gilles Grapinet: 79:23 And it's part of, of course, enriching constantly the value proposition for the merchants. And as you know, and because of that, we can, of course, embedding to what we allow the merchant to accept as payment means if they believe their customers are interested. So it is part of the constant extension. If you remember talking about another point, that we are also one of the first mover at scale, allowing certain merchants to be paid through crypto wallets i.e., allowing a merchant to allow its own customers to use their crypto wallet to pay their point of sale. While, of course, we will deliver a flat currency to the merchant and ensuring the trade behind as a partner and showing the liquidity between the crypto and the corresponding flat currency. So for us, all this type of evolution of the innovation of online to cope with the future of payment method, whatever they will be, is a core component also if we believe that is a very strong and relevant value proposition, tailormade, for of course, different geographies, no need to tell but in Europe, there are still very significant differences in the way household are actually behaving from one country to another one, not even talking within the same country or different generation of consumers. So all that is part of what is making Worldline much unique as a platform of payment that we are committed to close pursue building in the coming three years.
Eric Heurtaux: 80:51 Maybe on your last question I miss, so on the headcount, so overall in Worldline, we have circa 21,000 headcounts out of which 4,000 in the TSS part. So meaning on the continued operation, we will be circa 17,000 plus the transaction. And to give you a precise number, we have hired in 2021 3,200 people. [Multiple Speakers]
Gilles Grapinet: 81:26 Before we have question ended -- I mean in onboarding of people, but as you know, we are facing a significant level of turnover naturally and the job market is very down these days. And of course, all that is also meant to compensate the people that are living for whatever reason and there are always a significant number of thousands leaving the company to embrace new opportunities somewhere else and also to start the growth that we are radars and also the accelerated transformation of our technology studies. So all in all, I mean we feel that we are quite well positioned. The company is attracting more and more attention, thanks to an enhanced visibility. But it is still quite a dynamic job market. So you need to be ideally visible and not to hesitate to some marketing tricks to attract attention on your job opportunities.
Hannes Leitner: 82:18 Great. Thank you for the detail. Good luck for this year.
Gilles Grapinet: 82:20 So maybe we will take the last question, given that we're already well advanced in this call. Operator?
Operator: 82:28 Thank you very much. Your last question today comes from the line of Alastair Nolan from Morgan Stanley. Please go ahead. Your line open.
Alastair Nolan: 82:38 Hi. Good morning, everyone Thanks for -- thanks for squeezing me in. Maybe just two quick ones for me. I can see from the volume graph, which is really helpful a slightly weaker end to the fourth quarter. And I guess that's clearly the Omicron impact. Can you maybe try and quantify what you think that impact might have been in the fourth quarter and also any kind of specific comments around how that's trended in the first half of this year? And then just finally on TSS disposal, can you just remind me and apologies if I missed this, you've got the EUR1.7 billion upfront potentially, and then the rest is based some sort of performance targets. And maybe just the timing on that would be really helpful. Thank you.
Gilles Grapinet: 83:22 So in all fairness, it's hard to compute, but Marc-Henri can give you his own view exactly the Omicron impacts between the year end and what would remain at the very start of the year. If you take the Netherlands and there were still significant constraints in place early Jan in the Netherlands, and in particular, mandatory closure of shops relatively early in the day and still restriction on many social intense activities. We’ve been facing if you remember the full lockdown of Austria at the end of the year and significant restriction also in Germany.
Marc-Henri Desportes: 84:00 Well, it's a difficult to say maybe a couple of points of growth on MS would be the order of magnitude of the Omicron impact in Q4, then as you say, it's a comparing more COVID with less COVID when we look at last year. So it's a bit of a complex exercise. But yeah, when we try to assess a bit what was the impact of Omicron across the board of our various activities we would say on MS, or Merchant Services, which is more sensitive to close of course to shop opening. It is a couple of percentage points.
Gilles Grapinet: 84:37 And regarding the TSS question, I mean, it is very simple. The delivery of the earnout will be synchronized with the exit of the investment by Apollo. So basically, it will be relying on the period of holding of the asset significant to maybe longer maybe shorter. 84:58 Many thanks guys. It was really good to reconnect with you in these -- in the interesting times for us in the payments industry. I want really to convey our very strong conviction that we've been delivering a very solid execution of all our plans in 2021 that the company is really well prepared to engage into the new three-year plan, and we have ahead of us beyond a good and solid organic growth perspective, still a very interesting landscape in terms of further M&A opportunities, and we are very keen now that we have sold the TSS topic to actively move forward. And of course, I look the nearest opportunity to connect with you in person and start to get back to the good old life, which would be interestingly or so good for the business. Wish you a safe day and hopefully we connect back. Bye-bye.
Operator: 86:04 Thank you. That does conclude today's conference call. Thank you for participating. You may all disconnect.